Operator: Good afternoon. Welcome to Oxbridge Re's Third Quarter 2023 Earnings Call. My name is David, and I'll be your conference operator this afternoon. [Operator Instructions] Joining us for today's presentation is Oxbridge Re's Chairman, President and Chief Executive Officer, Jay Madhu; and Chief Financial Officer and Corporate Secretary, Wrendon Timothy. Following their remarks, we will open up the call for your questions. I would like to remind everyone that this call is also being broadcast live via webcast and available via webcast replay until November 28, 2023, on the Investor Information section of the Oxbridge Re website at www.oxbridgere.com. Now I'd like to turn the call over to Wrendon Timothy, Chief Financial Officer of Oxbridge Re, who will provide the necessary cautions regarding the forward-looking statements that will be made by management during this call.
Wrendon Timothy: Thank you, operator. During today's call, there will be forward-looking statements made regarding future events, including Oxbridge Re's future financial performance. These forward-looking statements are made pursuant to the Private Securities Litigation Reform Act of 1995. Words such as anticipates, estimates, expects, intends, plans, projects and other similar words and expressions are intended to signify forward-looking statements. Forward-looking statements are not guarantees of future results and conditions but rather are subject to various risks and uncertainties. A detailed discussion of these risks and uncertainties that could cause actual results and events to differ materially from such forward-looking statements is included in the section entitled Risk Factors contained in our Form 10-K filed on March 30, 2023, and our Form 10-Q filed today with the Securities and Exchange Commission. The occurrence of any of these risks and uncertainties could have a material adverse effect on the company's business, financial condition and the volatility of our earnings, which in turn can cause significant market price and trading volume fluctuation for our securities. Any forward-looking statements made on this conference call speak only as of the date of this conference call. And except as required by law, the company undertakes no obligation to update any forward-looking statements contained on this call or in any company presentation even if the company's expectations or any related events, conditions or circumstances change. Now I'd like to turn the call over to our Chairman, President and Chief Executive Officer, Jay Madhu. Jay?
Jay Madhu: Thank you, Wrendon, and welcome, everyone. Thank you for joining us today. Oxbridge Re Holdings Limited was founded 10 years ago with a mission to provide reinsurance solutions primarily to property and casualty insurers in the Gulf Coast region of the United States. We are also proud of the significant steps we have taken this year to fortify and diversify our business. Our core business remains our licensed reinsurance subsidiary, Oxbridge Reinsurance Limited, and our licensed reinsurance sidecar, Oxbridge Re NS, who write fully collateralized policies to cover property losses from specific catastrophes. And because we write fully collateralized contracts, we believe we can compete effectively with large carriers. We specialize in underwriting low-frequency, high-severity risks, where we believe sufficient data exists to effectively analyze the risk-return profile of reinsurance contracts. Our objective is to achieve long-term growth in book value per share by writing business on a selective and opportunistic basis that will generate attractive underwriting profits relative to risk. Building on the stable reinsurance Foundation, we began to diversify our business in 2021 as a lead sponsor of Oxbridge Acquisition Corp., a special purpose acquisition company, or SPAC, focusing on investing in disruptive technologies. In August this year, Oxbridge Acquisition successfully completed its business combination with Jet Token Inc. Jet Token develops software and offers fractional aircraft ownership, jet card, aircraft brokerage and charter to its fleet of private aircraft and those of operating partners. It operates in 2 segments: software and aviation. The software segment features the B2B CharterGPT app and the B2B Jet.AI operator platform. The CharterGPT app uses natural language processing and machine learning to improve the private jet booking experience. The Jet.AI operator platform operates a suite of stand-alone software products to enable FAA Part 135 charter providers to add revenue, maximize efficiency and reduce environmental impact. The aviation segment features jet aircraft fractionalization, jet cards, on free charter, management and buyers brokerage. With the completion of the business combination in August, the company renamed the Jet.AI Inc. and its common shares and warrants began trading on the NASDAQ Stock Exchange. Our interest in Jet.AI is recognized at fair value and other investments on our balance sheet. We also diversified our business in 2023 with the creation of our new Web3 subsidiary, SurancePlus Inc., a provider of tokenized real-world assets or RWAs, initially in the form of tokenized reinsurance securities. These are alternative investment opportunities, leveraging key qualities of blockchain technology to create a well-designed digital security under the SEC guidelines possessing complete transparency and compliance. This new thrust in our entity -- and our entry into the digital securities markets, which puts real-world assets on chain and opens an entirely new ally of democratizing reinsurance and potentially other opportunities in the future. We believe we have issued the first tokenized reinsurance security backed by a publicly traded company. Importantly, SurancePlus was created with no debt and no equity dilution for our shareholders. We are very proud to have achieved this diversification so efficiently. We are very excited about both of these investments and look forward to keeping you appraised of their progress in the coming quarters. Looking ahead, it is our intention to rebrand Oxbridge as an emerging and successful player in the tokenized real-world assets or RWA's Web3 business. I will have more to say on this later. In short, we remain highly optimistic about the long-term prospects of our core reinsurance business, the successful diversification into our 2 new investments, Jet.AI and SurancePlus as we transform more fully into the RWA tokenization market. I'll now turn things over to Wrendon to take us through our financial results. Wrendon?
Wrendon Timothy: Thank you, Jay. I would like to remind you that our typical contract period is from June 1 to May 31 of the following year. With respect to net premiums earned, net premiums earned for the quarter ended September 30, 2023, were $549,000, slightly lower than last year's third quarter. For the first 9 months of 2023 net premiums earned were $732,000 compared to $995,000 last year. The decrease is due to the acceleration of premium recognition on 2 of our reinsurance contract last year due to a limited loss that was suffered. With respect to investment income or net investment income and other income rose in the quarter and the first 9 months of 2023 due to higher rates on money market funds. You can also see that we generated incentive technology origination and management fee income of $300,000 in 2023 from our SurancePlus subsidiary. In the third quarter of 2023, we recorded an unrealized loss of $6.4 million on our other investments, the result of our remeasurement of our investment in Jet.AI. We also recognized a $34,000 negative change in fair value of our equity securities. As of September 30, 2023, much improved from the $355,000 negative change in the prior year. All of these factors taken together resulted in consolidated total revenue of negative $5.1 million for the 9 months ended September 30, 2023 compared to negative $119,000 in the prior year. Total expenses included in loss and loss adjustment expenses, policy acquisition costs and general and admin expenses were down in the third quarter and the first 9 months of 2023 compared to last year due to the triggering of a limited loss on 2 of the company's reinsurance contracts in September 2022 related to the impact of Hurricane Ian. The current year has seen a lower policy acquisition costs and underwriting expenses offset by increased general and admin expenses due to inflationary expense fluctuations as well as the recognition of previously deferred offering costs. Primarily due to the unrealized loss resulting from a remeasurement of our investment in Jet.AI in the third quarter. We generated a net loss of $7.3 million or $1.24 per share compared to a net loss of $2.2 million or $0.37 per share in last year's third quarter. For the 9 months ended the year September 30, 2023, the net loss was $7.2 million or $1.23 per share compared to a net loss of $2.5 million or $0.43 per share last year. As we have discussed before in our investor calls, we use various measures to analyze the growth and profitability of our business operations. For reinsurance business, we measure underwriting profitability by examining our loss ratio, acquisition ratio, expense ratio and combined ratio. Our loss ratio which measures underwriting profitability, is the ratio of loss and loss adjustment expenses incurred and net premiums earned. The loss ratio decreased to 0% for the 9 months ended September 30, 2023 from 107.8% in the prior year, wholly due to the limited losses suffered on 2 of our reinsurance contracts as a result of Hurricane Ian in September last year. Our acquisition ratio, which measures operational efficiency, compares policy acquisition costs and net premiums earned. The acquisition ratio decreased marginally from 11.1% for the 9-month period ended September 30, 2022, to 10.9% for the 9-month period ended September 30, 2023. Our expense ratio which measures operating performance compared to policy acquisition cost and general and admin expenses with net premiums earned, the expense ratio increased 244.4% for the 9 months ended September 30, 2023 from 116% in the prior period. The change is due to higher G&A costs this year caused by inflationary elements and recognition of previously deferred offering costs. Our combined ratio, which is used to measure underwriting performance, is the sum of the loss ratio and the expense ratio. The combined ratio increased marginally to 244.4% for the first 9 months of 2023 compared to 224.4% last year due again to the higher G&A costs in 2023 caused by inflationary elements and the recognition of previously deferred offering costs. Now turning to the balance sheet. Our investment portfolio was valued at $608,000 at September 30, 2023, compared to $642,000 at the prior year end decreased due to unrealized loss experienced this year. Other investments decreased due to the negative change in the fair value of our investment in Jet.AI measured at fair value. Cash and cash equivalents and restricted cash and cash equivalents decreased to $3.6 million at September 30, 2023 from $3.9 million at December 31, 2022. I will now turn the call back over to Jay to wrap up before we take your questions. Jay?
Jay Madhu: Thank you, Wrendon. As I mentioned on the outset of our today's call, we have taken decisive and significant steps this year to strengthen and diversify our business. In December 2022, we incorporated our wholly owned subsidiary, SurancePlus. SurancePlus will issue tokenized securities that indirectly represent fractionalized interest in reinsurance contracts underwritten by our reinsurance subsidiary. During the second quarter of this year, we completed the first offering of these tokens with 2.4 million private placement. Assuming there are no catastrophe losses incurred by Oxbridge, our Delta category 3 token investors are expected to receive a significant return of up to 42% on their investment in this treaty year. Again, we believe these are the first tokenized reinsurance securities backed by a publicly traded company. SurancePlus will democratize access to reinsurance as an alternative investment opportunity that leverages the key qualities of blockchain technology to create a well-designed digital security. Our token will enable more investors to participate and have their interest permanently and transparently recorded on a blockchain. These opportunities were typically unavailable to investors in the past due to high barriers to entry. Following this exciting investment opportunity in mid-August 2023, we utilized our special purpose acquisition company, Oxbridge Acquisition Corp. to complete a business transaction with Jet Token Inc. a company offering fractional aircraft ownership, jet card, aircraft brokerage and charter services through its fleet and private aircraft. Our wholly owned subsidiary, Oxbridge Reinsurance Limited, was a lead investor in the SPAC sponsor. In conjunction with the completion of the business combination with Jet Token in August, the company was renamed Jet.AI Inc. and listed its common shares and warrants on the NASDAQ. These exciting new investment opportunities further diversify our business and risk profile, positioning us to capitalize on growth in emerging technologies. We are very excited about the future value of these investments and the potential they bring to our shareholders. As I mentioned on the outset, we will be positioning our company to exponentially grow our SurancePlus subsidiary as a pure RWA tokenization Web3-focused company by leveraging the significant steps we have taken this year. This will be done alongside the maintenance of our core and complementary reinsurance business solutions to insurers in Florida and the Gulf Coast states. According to Boston Consulting Group, the tokenized RWA market is expected to grow significantly over the next decade, with estimates as high as $16 trillion by 2030. This comes as traditional financial institutions, including fiat currencies, equities, government bonds and real estate, continue to adopt blockchain technology. For example, Bank of America recently stated that the tokenization would transform existing financial infrastructure, increase efficiencies, reduce cost and optimize supply chain. As an early entrant into this growing market, we are very excited about the potential our rebranding and new business lines will bring to our shareholders. With that, we are ready to open the call for questions. Operator, please provide the appropriate instructions.
Operator: [Operator Instructions] And our first question will come from Kent Engelke with Capitol Securities Management.
Kent Engelke: How are you all going to be marketing the tokenized securities RWAs?
Jay Madhu: Yes. So that will be marketed through various different folks. We hope to get some of the folks through FinRev-regulated agencies, but there will also be a huge thrust of marketing it ourselves internally to high net worth individuals. So like a Reg D in the U.S. and Reg S outside of the U.S.
Kent Engelke: How -- what sort of growth rate do you anticipate in the foreseeable future? Or you can't extrapolate that out as of yet.
Jay Madhu: Yes. What we've done over the last few years is we had our SPV that we were taking capital from individuals and putting those -- putting that capital to work, and we've shown a track record of doing that. Over the last few years, it's worked out quite well. This year, we took that same thought process, rolled it out into a much more scalable platform for SurancePlus, giving us access to the world over, if you would. So while there's always -- while there's always worry about how this is -- this will grow, we expect this will grow quite well, especially with folks this year are getting -- we've changed the nature of the top side of the contracts that we take. So we take contracts that are higher up in the tower, et cetera. But nonetheless, this year, investors are going to get 42%. We're almost at the end of hurricane season. This is looking good. We expect that to grow fairly -- to a fairly sizable event next year -- amount rather.
Operator: And there are no further questions on the line at this time. I will turn the program to our speakers.
Jay Madhu: Thank you for joining us on today's call. Before we wrap up, I want to thank our employees, business partners and investors for their continued support. I especially want to express our gratitude to our Oxbridge team, who continue to leverage their significant experience to manage and build our business during these challenging times. We look forward to updating you on our next call. If you have any further questions, please contact us any time. Thank you again for your time and attention today and your interest in Oxbridge. Operator?
Operator: Before we conclude today's call, I would like to remind everyone that a recording of today's call will be available for replay via a link available in the Investors section of the company's website. Thank you for joining us today for your presentation. You may now disconnect.